Joe Spain: Thank you and good afternoon everyone. My name is Joe Spain and I am the Chief Financial Officer for Intellinetics, Inc. I am pleased to welcome you to our 2022 Second Quarter Conference Call. Before we begin, I would like to remind listeners that during this conference call, comments that we make may include forward-looking statements regarding Intellinetics, Inc. that are not historical facts. These forward-looking statements are based on the current expectations and beliefs of management and they are subject to risks and uncertainties that could cause such statements to differ materially from actual future events or results. We undertake no duty to update any forward-looking statements. For information about factors that may cause actual results to differ materially from forward-looking statements please refer to the press release we issued today, as well as risks and uncertainties included in the section under the caption Risk Factors and Management’s Discussion and Analysis of Financial Condition and Results of Operations in our annual report on Form 10-K filed March 24, 2022 and other risks and uncertainties discussed in our Form 10-Q filed today. Also, please note that on the call today, we will discuss adjusted EBITDA, in total contract value, non-GAAP financial measures when discussing the company’s financial performance. We describe total contract value and provide a reconciliation of adjusted EBITDA to our GAAP financials in our earnings release. Our earnings release, including the non-GAAP measure reconciliation is available on our website at intellinetics.com/company-news. I would now like to turn the call over to Jim DeSocio, our President and CEO.
Jim DeSocio: Thank you, Joe. We appreciate everybody joining us today. We achieved our goal in the second quarter of improved revenue numbers from Q2 of 2021 to Q2 of 2022 despite the headwinds we faced from Omicron lingering in a tight labor market. I am especially pleased with our SaaS revenue growth of 208% over Q2 2021. Joe will add more details to this later on.  As I mentioned on our last call, we’ve invested in expanding our marketing efforts and have added to our sales team. Our 90-day pipeline continues to grow. This has resulted in a large increase in our contracts won. At the time of this call last year, 2021 year-to-date, we had closed 185 contracts with an estimated total contract value of approximately $3.8 million.  For this year, 2022 year-to-date, we have closed 252 contracts, up 36% with an estimated total contract value of $4.7 million, up 24%. These orders are generally recognizable in revenue over one year or less. For the quarter just ended, June 30th, we closed 102 contracts, total contract value of $3.2 million. Impressively, we have taken and/or closed $4.7 million out of our pipeline this year and have continued to increase the number of opportunities with a current count of 181 worth $6.3 million.  Our recent acquisition of Yellow Folder, which occurred April 1, 2022 contributed to the pipeline growth as well and is meeting our expectations. Since April 1, the Yellow Folder team sold new contracts worth $96,000 in SaaS and $120,000 in professional services total contract value in Q2. Our K-12 business unit now has over 530 K-12 districts generating over $3.7 million in SaaS revenue, which more than doubles our presence in this vertical market. This has been an excellent acquisition for Intellinetics.  Additionally, nearly 95% of the Yellow Folder’s revenues are SaaS, which on an unaudited pro forma basis for 2021 more than doubles our SaaS revenues, bringing SaaS to 29% of total consolidated revenues compared to the 13% without Yellow Folder. Please bear with me, I am letting a few more people into the call. Okay.  Not only does this acquisition bring us more SaaS revenue, but also enhances our EBITDA with high margin business and provides opportunity for more revenue via cross-selling opportunities. In fact, - sorry, I had to mute people. In fact, since April, we have already fulfilled our first cross-selling orders totaling $81,000 where we are helping Yellow Folder customer with a digital transformation to our document conversion division, which Yellow Folder previously outsourced.  Joe will review the details of our consolidated statement of operations for 2022 next. But right now, I am going to discuss our non-GAAP measure of adjusted EBITDA. In the second quarter of 2022, we reported adjusted EBITDA of $501,000 up 15% from Q2 2021. This marks the consecutive – this marks the tenth consecutive positive quarter and eighth consecutive quarter exceeding $300,000. This stability underscores my past comments about successful integration of our acquisitions in early 2020. Operationally, the team continues to deliver on the acquisition synergies.  Our investments in sales and marketing, our disciplined M&A approach and our focus on integration and cross-selling opportunities, all provide continued positive momentum. I am satisfied with our Q2 revenue results, given the conditions we faced and I am very pleased with the adjusted EBITDA and cash flow we generated.  The strong sales activity and lead generation bode very well for our future. This gives me the confidence that we are on the right course; I’m bullish for the future.  At this time, I’d like to turn the call over to Joe, our Chief Financial Officer to talk to you about our financials. Joe?
Joe Spain: Yes, yes. I am back now. Thanks, Jim. I will now review the financial results for the second quarter of 2022. Total revenue for the quarter ended June 30, 2022 increased 17% to $3.4 million as compared to $2.9 million for the same period last year. Following are the various components of revenue in the order presented on our statements of operations. Software revenue, which is comprised of perpetual license revenue increased 98% for the quarter ended to $11,000 from $6,000 for the same period last year. The ongoing industry shift towards cloud solutions in lieu of on-premise solutions makes this small, very small this quarter, component of our overall revenue increasingly inconsistent and can make comparisons swing significantly as we noted last quarter.  Recurring revenue, which is comprised of SaaS, including hosting revenue and software maintenance services revenue increased 111% to $1.5 million for the quarter from $711,000 for the same period last year. Yellow Folder contributed $681,000 of the increase. Without Yellow Folder, the organic growth was strong, as well. SaaS is growing more rapidly than software maintenance services at 72% versus 3% as expected, given the continued shift toward cloud solutions. The differential is also partly attributed to customers migrating from our on-premise solution to our clouds solution, which shifts the revenue from maintenance to SaaS, and in every migration case this year, resulted in higher overall revenues.  As a callout, we don’t mind this migration and view this as good cannibalization, because SaaS revenue stream is generally stickier that is with higher customer retention rates than maintenance. Also feedback to us has been that most investors view SaaS as having more enterprise value.  Professional services revenue decreased 14% to $1.6 million for the quarter from $1.9 million for the same period last year. As a percentage of total revenue, professional services revenue decreased to 48% of total revenue for the quarter compared to 65% of total revenue for the same period last year. The decrease is driven by challenges at our Graphic Sciences subsidiary in ramping up after Omicron reductions over the winter.  We had and continue to have a strong backlog, but couldn’t get our production staff up to capacity nearly as quickly as in the past.  Storage and retrieval services revenue decreased 6% to $276,000 for the second quarter of 2022, compared to $295,000 for the second quarter of 2021. The decrease of $19,000 is due to a reduction in transactions from a significant customer in the mortgage industry reduced due to increased interest rates driving a lower volume of weekly boxes we pick up.  Gross margin was up at 64% for Q2, compared to 62% last year. The increase was driven by a mix shift towards higher margin solution with SaaS and maintenance growing and professional services and storage and retrieval lagging compared to the prior year, further partially offset by lower margin projects within the Document Conversion segment driving the lower margin professional services overall.  Cost of revenue increased 12% to $131,000 to a total of 1.2 – I am sorry, increased 12% or $131,000 to a total of $1.2 million for the quarter compared to $1.1 million for the same period in 2021.  Operating expenses increased to $2.3 million for the Q2 2022, compared to $1.5 million for Q2 2021. The most significant drivers of the increase of $814,000 were the addition of Yellow Folder, and transaction cost of $285,000 incurred as part of our acquisition of Yellow Folder. In our statement of operations, we show the transaction cost on a separate line. We also carve out the change in fair value of earn outs, which for Q2 was $45,000 greater than last year.  Note that in our adjusted EBITDA calculation discuss later, we exclude both the transaction cost, which we deemed to be one-time cost and the expense for the change in fair value of earn outs. Excluding those expenses, our operating expenses increased quarter-over-quarter by 32%, which represents the addition of Yellow Folder from April 1 forward, including $73,000 amortization of intangibles acquired.  Sales and marketing expenses increased 55% compared to the same period in 2021. This increase reflects the additions of the Yellow Folder team and other investments in marketing and sales which Jim mentioned earlier.  Interest expense for the quarter was $240,000, an increase of $127,000 from last year. The interest expense has grown as expected given the private placement offering on April 1, 2022 which added $3 million in term debt.  Net loss for Q2 was $374,000, compared to $192,000 net income for the same period last year. Key factors affecting the comparison include $285,000 transaction cost in 2022 and not 2021, and the $45,000 increase in earn out fair value adjustment in 2022, as well as the incremental $127,000 in interest expense I just mentioned. All these factors are accounted for in our adjusted EBITDA, a non-GAAP measure.  To reiterate Jim’s preview earlier, our adjusted EBITDA for the quarter was $502,000 or $0.12 per basic share and $0.11 per diluted share, compared to an adjusted EBITDA of $356,000 or $0.15 per basic and $0.14 per diluted share for the same period in 2021. I’d like to point out that in our private placement offering April 1, we added $1.2 million outstanding shares, which is plus 44%.  Next, I'll turn to review of Intellinetics balance sheet. At June 30, 2022, the company had cash of $2.1 million and accounts receivable net of $900,000. Our total assets were $19 million, including an increase of $3.8 million in intangible assets and $3.5 million in goodwill as part of the Yellow Folder acquisition. All other assets acquired totaled about $137,000.  Total liabilities were $11.3 million including $5 million in debt principal as of June 30, 2022. We closed on our private offering April 1, 2022 where we added $3 million debt due in 2025 as part of our total raise of $8.7 million. Also in deferred revenues, we added $655,000 from Yellow Folder, stemming from their SaaS contracts we assumed.  I want to wrap up with a brief financial outlook. Based on our current plans and assumptions, and subject to risk and uncertainties we described on our filings and this call, we expect to continue to grow our revenues and adjusted EBITDA for the rest of 2022.  With that, we thank you all for listening. And at this time, we would like to open up the call to Q&A. I believe you can do it on the interface by clicking to unmute yourself or if you are on a phone I think you can do it with pound 6. 
Q - Howard Halpern: Hi guys. Howard from Taglich Brothers. Congratulations. A great quarter. I was hoping you’d expand a little bit more about the potential for the IPAS Solution that you talked about in the press release, and what type of sales path are you taking? Are you going to your existing customers first, or are you gaining new customers from that offering?
Jim DeSocio: Hi, Howard. Thank you. It’s a great question. So, we started this project with one of our key customers on top of the world who uses software from a company called Newstar where Newstar is owned by a very large software company called Constellation. Newstar has about 200 customers and they do financial software and procurement software for homebuilders.  So they came to us and we worked with them on this project and we’ve already sold three to four deals, or three deals. We are implementing three deals. We’ve actually sold four. So, we believe we have a great opportunity. We’ve just launched this product in March and we’ve already closed four very nice size deals. They are usually three to four times the size of our average customer.  So, it’s all about workflow around procurement and invoicing and comparing it to the purchase order et cetera, so and accounts payable. So, we are very bullish on this and we believe we could take it across a good part of our customer base, as well. 
Howard Halpern: Okay. And could you talk a little bit about, I guess, your focus on, a little bit of the Yellow Folder and how it’s all ramping together in your sales and marketing activities going forward?
Jim DeSocio: Yes. So, when we acquired Yellow Folder, the great news we already had about – we had about 240 school districts already, which is the good news. We acquired 120 school districts when we bought CEO Imaging in 2020 and then our very good partner Software Unlimited, which sells financial software to school districts has sold about 160 customers for us, as well.  So, what we are doing is, reorganizing the company around business divisions. So we are going to take all of the K-12 business units and roll it up into one business division and focus our development efforts there. Our sales efforts there, our marketing efforts there, and in the same token we are consolidating our Graphic Sciences business with our Columbus digital transformation business, so they can focus exclusively on digital transformation part of our business. And then, we’ll also have an IPAS business unit selling into that. So we really have been trying to focus our – we are going to focus our sales team on specific areas of expertise, put the marketing dollars where they need to and the development efforts specifically in those areas, as well. So we are going through this transformation right now. Very, very bullish on the K-12. We have 530. We finally have a – we have a dominant position in that space for document management in the K-12 area. The amount of SaaS revenue we are driving out of that area and the ability to cross-sell into that area, as well has been very beneficial. As you remember, when we did this with CEO Imaging, we sold to a school district of one of their customers. We sold a $450,000 digital transformation business into [Livonia](ph) school district a couple of years ago. So we’ve already started to do that with Yellow Folder and first deal out of the box was an $81,000 deal. So, we are very excited about what we are trying to accomplish here. 
Howard Halpern: And in terms of Graphic Sciences, are you finding the personnel now to – you are having a backlog. So how are you finding the personnel to begin executing on that pack all the boxes?
Jim DeSocio: Yes. It took us longer. I think the entire – everything everybody is reading is getting people back to work et cetera. So it took us longer than we thought it would than it usually has in the past to get people on board. We are just about full complement. I think we need two more people to be full complement. So we are in very good shape at this point right now, when we are ramping up, yes. 
Howard Halpern: Okay. Well, guys, keep up the great work. 
Jim DeSocio: Thank you, Howard. 
Joe Spain: Thank you. 
Jim DeSocio: Good. 
Joe Spain: Any other questions, you’d want to unmute yourself again if you are on the computer, I think it’s a click away in the Zoom and if you are on the phone, I think it’s a pound 6. 
Jim DeSocio: Okay. Well, let me wrap up then. Let me pull all this together in a few senses. We had some challenges with our professional services division, mostly in hiring for deduction and until recently that division has been doing extremely well. However in Q3, we are ramping up and our staffing levels are looking for those challenges to be addressed in Q4 and beyond. We are in very good shape at this point.  We don’t want to lose sight of the fact that the acquisition is delivering as we expected. We continue to do well with sales, closing the orders and we are very excited about our future. We appreciate the continued support of our long time shareholders and aim to attract new investors, as well by delivering results. It is our goal to continue building a business model, which in turn builds shareholder value.  Thank you for joining us today and we look forward to speaking again on our next conference call. Thank you. 
Joe Spain: Thank you.